Melissa Vergel De Dios: Good afternoon, and thank you for joining us today to discuss the Company's Financial and Operating Results for the First Half of 2024. A copy of today's presentation is posted on our website. For those who have not been able to do so, you may download the presentation from www.pldt.com under the Investor Relations section. Kindly note that this briefing is being recorded. A broadcast of the event will be available on our website after the call. The QR code for the presentation is on the screen and in the confirmation notices e-mailed to you. For today's presentation, we have with us our Chairman and CEO, Mr. Manny Pangilinan; Mr. Danny Yu, our Chief Financial Officer and Chief Risk Management Officer; Atty. Marilyn Aquino, our Corporate Secretary and Chief Legal Counsel; as well as the business unit heads led by Mr. Jeremiah De La Cruz of Home; Mr. Jojo Gendrano of Enterprise; Ms. Kristine Go for the individual business; and our Head of Network, Mr. Butch Jimenez. At this point, let me turn the floor over to Mr. Danny Yu to start the presentation.
Danny Yu: Good afternoon, everyone. Please allow me to present PLDT's financial and operating highlights for the first semester of 2024. Consolidated service revenues for the first half reached another milestone at ₱96.9 billion or 3% higher than last year. On gross basis, service revenues were higher by 4%, compared to the same period last year. Operating expenses marginally grew by 1% to ₱43 billion. Consolidated EBITDA rose by 3% to ₱53.9 billion, a semestral high, with EBITDA margin at 52%. Telco core income, excluding the impact of asset sales in Maya, expanded by 3% to ₱18 billion. On segment basis, our Individual business registered ₱1.7 billion or 4% growth in revenues to ₱41.9 billion. The Enterprise segment recorded a 4% revenue upswing to ₱24 billion. While our Home revenues were marginally lower by ₱177 million or 1% at ₱30 billion, fiber-only revenues were higher by 7% or ₱1.8 billion, compared to the same period last year. Now on these slides, while it may appear that the headline service revenues rose by 3%, revenues have actually grown by 7%, excluding the drag from legacy businesses, thus growing segment now contribute 87% of our total business from last year's 83%. For the Individual business, mobile data, accounting for 89% of total segment revenues, grew 8% year-on-year. This doubles the segment growth of 4%, which reflected the drag from the legacy SMS and voice. While the overall Home segment showed a marginal decline of 1% year-on-year, fiber-only revenues, which now represent 92% of the segment, rose 7%. Unlike other telcos, PLDT voice continues to contribute, albeit at a declining trend. Corporate data and ICT, which were 72% of the total enterprise revenues, were higher by 7%, compared to the overall segment revenue increase of 4%. Now for more details of the respective business segments. Service revenues for the Individual business grew by 4% in the first semester of the year, mirroring the same improvements in postpaid and prepaid. Mobile data underpinned the growth. Blended ARPU was higher by 14%, mainly due to the 11% rise in average usage and data traffic. The second quarter saw a 4% rise in service revenues, compared with the same period last year. However, it saw a dip versus the previous quarter, due to limited customer mobility from school holidays, and the rise in heat index. Notable for this segment is the increase in active mobile data users to 40.5 million from 39.4 million at the end of March. Usage per sub grew to 11.6 GB, up 11% year-on-year. Among the initiatives to accelerate the mobile growth momentum are best value offers and geo-targeted campaigns. We are complementing site rollouts and capacity expansions with programs to transform our customer care into a tech-driven center of excellence to enhance customer service. Next, please. 92% of our Home revenues are from fiber business, which registered a 7% year-on-year growth. As we mentioned last quarter, we started to accelerate port rollouts this year. In tandem with this, we focused on improving the pace of our fiber installations. This should translate to higher gross adds moving forward. We're happy to report that from May to June, we saw a 20% increase in fiber installs. Home fiber ARPU remained at around ₱1,500 level with lower-priced plans offered selectively in areas where we have spare capacity. PLDT Home has fiber plans that cater to a wide range of economic segments, enabled by its integrated fixed and wireless network. This includes Gigabit Fiber at the higher end; Fiber Unli-All Bundles for the mainstream, and prepaid fiber and fixed wireless for the low end. Our increased focus on quality of service, and quality acquisitions are driving significant improvements in churn. From 1.82% in the first quarter, fiber churn declined to 1.52% in the second quarter. PLDT continues to enjoy strong brand equity and superior network quality, making it a formidable competitor in the market. Next, please. Our Enterprise business operated against a backdrop where the overall industry experienced a slowdown, as customers were more deliberate with their IT and data transformation decisions, as they considered the impact of global trends, the fear of cloud and cyber threats. Nonetheless, the Enterprise segment recorded a 4% revenue rise with corporate data and ICT being the underlying growth drivers, having grown 7% in the first semester. Among the revenue streams that registered improvements were core connectivity, and higher ICT revenues from managed IT services, cybersecurity solutions and cloud services. Included in our Enterprise offers are differentiated SD-WAN, Managed Networking, IoT platform and a portfolio of services. We also continued to expand our capabilities in AI and cloud. The Sta. Rosa data center was energized in July with 20 megawatts of IT load capacity expected to be available by the end of 2024. This makes VITRO Sta. Rosa well positioned to capture growth from hyperscale and AI data center demand ahead of other operators. Despite cost pressures from inflation and high cost to operate, total OpEx was marginally higher by only 1% or ₱600 million in the first semester, reflecting our continuing pursuit of operational efficiencies and cost rationalization. Consolidated EBITDA for the six months of 2024 grew 3% to ₱53.9 billion, a semestral high, driven by higher revenues. EBITDA margin stood at 52%. Telco core income for the first half of '24 rose by 3% to ₱18 billion, reflecting the impact of higher EBITDA, partly offset by higher depreciation and financing costs. On reported basis, PLDT income was stable at ₱18.4 billion. Note that our share in losses from Maya continues to decline, as Maya remains on track to achieve bottom line breakeven in the last quarter of this year. The Board of Directors approved a payout of an interim dividend of ₱50 per share, representing 60% of our telco core income for the first half of 2024, consistent with our dividend policy. Record date is set for August 27 while payment is scheduled for September 11. PLDT's balance sheet remains healthy with net debt-to-EBITDA of 2.38 times at the end of June. We continue to target taking leverage to the 2.0 times level, which we expect to attain with anticipated increase in EBITDA, reductions in CapEx and with the balance of tower sales proceeds. We also remain actively engaged in discussions with potential investors for our data center business. Gross debt stood at ₱265.4 billion, of which 15% are dollar-denominated and 5% unhedged. The average interest cost for the period stood at 4.9% pretax, while the average life of debt is 6.85 years. Total CapEx amounted to ₱35.1 billion, consisting of network and IT CapEx of ₱32.7 billion and business CapEx of ₱2.4 billion. CapEx intensity or CapEx to service revenue stood at 34% for the first semester versus 41% in 2023. Of the ₱33 million commitment, net of advances to major CapEx vendors, the remaining commitment has been reduced to ₱4.4 billion. For 2024, our CapEx guidance is ₱75 billion to ₱78 billion, consistent with our aim to continue to reduce CapEx. The increase in the number of unique 5G devices and 5G data traffic continues into 2024, which we expect to be sustained as the price of 5G devices trends lower. 5G adoption is one of the emerging growth streams of our Individual business. Now moving to Maya, our fintech investment. Maya Bank continues to be the country's number one digital bank on the back of the company's exceptional growth in deposit, credit and merchant acquiring. At the end of June 24, Maya Bank's strong product appeal was reflected in the remarkable growth in customers to 4 million. Deposit balances rose to ₱32.8 billion, driven by Maya's innovative products and higher interest rates linked to everyday spending. Life-to-date, Maya Bank disbursed a total of ₱46.8 billion in loans and had 1.2 million borrowers, 133% growth year-on-year. Maya has scaled its lending business with Maya Bank turning cash flow positive in the second quarter of the year. Maya offers the widest range of loan products among the digital banks, catering to both consumers and MSMEs. Year-on-year, consumer loans grew 2.7 times while MSME loans rose by 6.7 times. Complementing these are lending solutions to key partners such as device financing for PLDT and Smart. Maya Bank expects to further expand its loan book through strategic initiatives, such as loan channeling with Tala. Finally, Maya continues to enter into partnerships that supports its financial inclusion objectives. Now for the guidance. Our outlook for 2024 continues to be one of optimism. We affirm our previously announced guidance that includes mid-single-digit top line growth underpinned by robust increases in data and broadband revenues. With our continuing pursuit of operating efficiencies and cost rationalization, our EBITDA is anticipated to grow by mid-single-digit as we aim to expand EBITDA margin beyond the current level. Telco core for '24 is expected to land north of ₱35 billion. Consistent with our commitment to lower CapEx headline number, our CapEx guidance for '24 remains at ₱75 billion to ₱78 billion, including fresh CapEx for the year, and the deliveries of prior year's commitments. We remain committed to a 60% dividend payout to working to bring leverage back to our target of 2.0 times net debt-to-EBITDA level and achieving positive free cash flow after dividends. Thank you.
A - Melissa Vergel De Dios: [Operator Instructions] There's a question from Arthur Pineda. Arthur?
Arthur Pineda: Hi. Can you hear me?
Melissa Vergel De Dios: Hello? Arthur, let's try it again.
Arthur Pineda: Can you hear me, now?
Melissa Vergel De Dios: If you can speak a little louder, we can hear you a little faint, but yeah, we can.
Arthur Pineda: Okay. Is this better?
Melissa Vergel De Dios: Better. Thank you.
Arthur Pineda: Okay. Thank you. Yes, several questions, please. Firstly, on Maya, can you please clarify the comment on Maya Bank turning cash flow positive? Do you mean that Maya Bank itself has turned profitable in 2Q? I'm not familiar with the concept of a bank turning cash flow positive. So I'm just needing to clarify that. Second question I had is with regard to the data center. Previously, there were talks of monetization plans for that asset. Is that still a route that the company is pursuing? And third question I had is with regard to mobile revenues. When we look at this, this seems to have slowed down versus 1Q's momentum. What's dragging down the momentum on ARPUs?
Melissa Vergel De Dios: On the cash flow for Maya, if you want?
Danny Yu: Yes, that's correct. Maya Bank is now cash flow positive but not Maya as a whole, okay? We're talking only of Maya Bank.
Arthur Pineda: Sorry, because the concept of the bank on cash flow is a bit different when we think of banks, because it is in the basis of cash. So when we think of that, are you referring to Maya Bank being profitable? Is that how we should interpret this?
Manuel Pangilinan: Banks always have cash, right? If you don't have cash, then you're in trouble. So from a cash standpoint, I think the loan-to-deposit ratio of Maya Bank is about anywhere, between 20% to 22%. As of last count, deposits are about ₱32.8 billion. Loans on books are anywhere between ₱6 billion to ₱7 billion only, so they have cash. Now from a profit standpoint, I believe they are profitable on their own. Because what Maya Holdings, or whatever the parent company is, have allocated certain of their overhead expenses down to the bank. So it's not clear to us, to be honest, whether - to what extent they are profitable on their own without allocation of head office overhead. Arguably, some of those expenses, like IT, which I understand service part of the IT requirements of the bank, are operated out of head office. So that might be a basis for adjusting expenses down to the bank. But I think from a contribution to head office expenses, it is already positive on an accounting basis, right? And yes, I think that's the short answer.
Melissa Vergel De Dios: And then on the data center question, sir?
Manuel Pangilinan: But as Danny said, taken in the round, it is cash flow negative. Because principally, the digital wallet is still negative from a cash flow standpoint and accounting standpoint in terms of P&L, right? But their losses, Maya's losses consolidated was down to ₱1.9 billion for the first half from, was it ₱6 billion last year? So that's a significant improvement. And two things, one is Maya expects to breakeven on an accounting basis and cash flow positive in the month of December this year. And the losses will drop from the first half of ₱1.9 billion down to about ₱500 million for the second half of this year. So the total losses will be about ₱2.4 billion accounting-wise and still cash flow negative taken for the whole year, but at least EBITDA - well, they'll be EBITDA positive by December and accounting equilibrium by December, right?
Melissa Vergel De Dios: Second question, sir, was on the data center monetization, whether that is still on?
Manuel Pangilinan: Well, there are ongoing discussions. And I think we're down to the short strokes. We're down to two - the valuation has been agreed, and it's a combination of old shares or existing shares and new shares. So PLDT will sell a portion of our outstanding shares in VITRO, which is the parent of the data centers, to this particular foreign investor. And there will be new shares issued to bring new money in, into VITRO for two things. The new investor wants debts to be reduced somewhat. And the other bit is that the substantial portion of the new funds injected in VITRO will fund the expansion of VITRO in respect of Phase 2 of the Sta. Rosa hyperscaler data center and future data centers. So in the medium term, VITRO does not need to borrow, because there's quite a substantial injection of funds into it VITRO to fund the expansion plans of VITRO.
Melissa Vergel De Dios: The last question had to do with what seems to be a slowdown in mobile, Kristine?
Kristine Go: So it's true, there is actually a slowdown in the mobile revenues in quarter two. But a lot of that has to do with the industry as well. So if you recall, in quarter one, we actually had an industry growth of somewhere in the 6% to 7%. But in quarter two, growth was just at 3% to 4%. It's linked to the early closure of classes as well, because there was a change in the school calendar. So with classes being cut short much earlier, there was actually limited mobility plus, of course, the heat and the temperature was actually not to our favor. But we are seeing a lot of momentum coming third quarter. So, we expect actually the growth to bounce back.
Arthur Pineda: Very clear. Thank you very much.
Melissa Vergel De Dios: Next set of questions from John Te.
John Te: Hi, Melissa. Can you hear me?
Melissa Vergel De Dios: Yes, we can. Thanks, John.
John Te: Thank you. Three questions for me, maybe best if I go over them one-by-one. First is on Home broadband. It's 1% growth, but I understand you published record net adds and stable fiber ARPU. So I suspect the gap would mostly come from the legacy business. Is my understanding correct, as in a decline in the legacy business?
Jeremiah De La Cruz: Hi John, thanks for the question. You are correct, actually. If you look at our fiber business, fiber business actually had 39,000 net adds as well as 7% year-on-year growth. So we actually saw a total of about ₱911 million in the second quarter alone for our fiber business. The gap that you're seeing is actually the decline in our legacy business. So a lot of that is in our copper, our VVDSL as well as our old copper lines and some voice calling. So it's all of those legacy businesses that are actually dragging down the overall performance for Home. But barring all of those legacy revenues, if you look at really only the future revenues, in particular, fiber, which is the area most contested in the market, we are seeing a 7% year-on-year growth.
John Te: Thank you. And a quick follow-up to that...
Jeremiah De La Cruz: Yes, ₱1.9 billion. Yes, so it's a ₱1.9 billion total drop in our legacy revenues.
Manuel Pangilinan: DSL and what, so we're down to ₱1.6 billion in revenue terms for the legacy. And we think the rate of decline in revenue will be modest. It's down at the bottom of the curve. So the growth in home broadband should be more transparent to you. Yes. To the consequences of our legacy assets.
Jeremiah De La Cruz: Did that answer your question, John?
John Te: Yes, very much. Thank you. A quick follow-up is...
Manuel Pangilinan: Also net results are better for the months of July and so far in August. I think gross is also higher the first 1.5 months in the second half, compared to the other first six months.
Jeremiah De La Cruz: Yes, that's correct. We are actually seeing a significant increase on a month-to-month basis. We saw that increase coming through from June as well as continuing to go through in July as well as August. That, coupled with an improvement with our overall churn performance. As Danny had mentioned, churn in the first quarter was 1.8%, churn in the second quarter has actually gone down to 1.5%. So those two things actually coming together, we'll actually see momentum in the Home business actually picking up, and we'll see a much, much stronger second half of this year.
Manuel Pangilinan: And on the network side, we have to add ports.
Menardo Jimenez: Yes. To complement the growth in the second half of Home, we're seeing an acceleration of ports rollout as well. So if you combine their strength in installs and the lower churn and now more ports for the second half, you will see the acceleration of the performance of Home for the second half of the year.
Manuel Pangilinan: So consequences on the expansion by transport network as well, because the anticipated growth in traffic from better installs in the second half.
Menardo Jimenez: And I think one of the things that should be underscored is that the performance in 2024, if we end strong, is going to give us an even stronger performance in 2025. One of the reasons why 2024 was a little bit subdued in the first half was because 2023, we pretty much slowed down both the installs and the rollouts and that affected our first half revenue. But if you see the acceleration in the second half, the impact of that in 2025 is actually going to be quite big. So we're preparing for a stronger 2025. And we want to make sure that we do not lose the momentum of what we have in the second half of the year so that '25 should be a stronger performance for Home.
Melissa Vergel De Dios: And your second question?
John Te: Thank you for the very comprehensive responses. Second is maybe on prepaid fiber unit economics. Because I understand in the past, you mentioned that this did not make sense to roll out or build. So maybe an update whether there was an update about the change in strategy, and whether this business can be a potential profit driver for PLDT moving forward.
Jeremiah De La Cruz: Sure. Look, the prepaid fiber economics are definitely challenging, right? I mean, one of the big things that is different about the fiber business as well as our mobile business is the amount of CapEx required to actually connect the customer in the first instance. So that's clearly a big difference between fiber economics as well as mobile. Where we started with prepaid fiber was actually within the existing base. So customers that were either having difficulties, with regards to their financial situation, they wanted an alternative different payment method, we actually went after those customers first and we gave them the option, to go through prepaid, right? So we've actually -- that's where a lot of the economics actually are in your favor. Because if you think of the setup costs and the setup fees, they are largely sunk costs. You've actually already done the roll. You've already done the truck roll. You've already got the CPE up there. So being able to extract more value out of that customer is only going to be accretive to you from a top end as well as a bottom line perspective. From a new acquisition point of view, we have opened up prepaid fiber in select areas. So in areas where we have ample capacity in our fiber network, we are making prepaid fiber available. It does, however, come with a slightly different economics or a slightly different commercial agreement. We are asking for an upfront payment fee from the customer to be able to show commitment that they actually do want to make sure that it's not just something that they want to do once and once only. And we're also making sure that it is in areas where we have capacity. Unlike our competitors, PLDT actually has a utilization rate of our ports that are actually extremely high. So we're sitting at about 60%. So more often than not, because that 60% ports and the 40% leftover are actually scattered throughout the Philippines, right? So it's not just all evenly done. So in areas where we do have capacity, we will make it available and we'll actually push it down into different segments of the market, and we'll open that up. And we'll open it up, making sure fiber is more available to more people. But we are being very, very selective with it as well to make sure that it is value-accretive to us. I will add that in May of this year or actually, it was June this year, we did launch our 899, right. The most aggressive postpaid and the cheapest postpaid plan that we have available in the market for fiber. And so we have seen an uptake on the 899. Now that obviously still has very similar -- because it is still a postpaid plan, that does have a little bit more predictable economics than, say, for example, a prepaid service, right? What we are seeing is customers are availing of the 899 rather than actually going through the prepaid option. When provided an option for both, we're actually seeing them self-select on the 899, and they're actually preferring to take that service moving forward. So I guess, I couldn't give you full details as to how the economics are going to pan out, because I think the fullness of time really is what's going to reveal how often someone is going to recharge. However, we are very much committed to making sure that we extract the maximum value from our CapEx that we've got it. So we will make it available and we'll actually push to open up our fiber to as many customers as we possibly can.
John Te: Thank you very much. Final question for Danny, maintenance question on costs. Personnel expenses in 2Q alone, I think there was a big jump versus 2Q last year. But I understand that the first half versus first half number is kind of normalized. So is it just correct to understand this is a difference in timing in terms of booking, some of your personnel expenses?
Danny Yu: The increase in repairs and maintenance was actually due to the increase in technical service fees to different suppliers, like Cisco, Huawei, principally from the site expansion program.
John Te: Yes, just to clarify, I think there was also a spike in personnel, as in manpower expenses, wages. Could you comment on that?
Danny Yu: You mean the compensation of 1%?
John Te: Yes, correct.
Danny Yu: It just increased by 1%.
John Te: Yes, so the second quarter versus second quarter number, I think, was high single-digit. But the first half year, correct that it was muted. So is my understanding correct that this could be a timing effect on your end?
Danny Yu: It does include merit increases for this year.
John Te: I see. Thank you very much. That'd be all for me.
Melissa Vergel De Dios: Thanks, John. There's a question in the Q&A box from Zhiwei of Macquarie. Your first half EBITDA margin came in at 52%. Can you articulate your plan to push above 52% in the second half of '24 to meet your target?
Danny Yu: Come again, sorry?
Melissa Vergel De Dios: Our EBITDA margin came in at 52%. Can we articulate our plans to push that margin above 52% in the second half?
Danny Yu: Well, we will try by reducing the operating expenses. But most likely, it will land between 52% and 53%.
Melissa Vergel De Dios: And then there's a follow-up question. Can you discuss how much incremental earnings from Sta. Rosa's initial 20-megawatt capacity can be expected?
Joseph Ian Gendrano: So with the data center business, it usually takes some time before the revenue ramps up. But we are expecting within the next 18 months, come the opening of Sta. Rosa in October, that we should be able to extract anywhere between ₱600 million to ₱1.5 billion in additional revenues for our DC business.
Manuel Pangilinan: Well, that's what they committed that they're going to breakeven by December. When I say they, I mean Maya committed that.
Melissa Vergel De Dios: Next set of questions from Clare Alvarez of Guild Securities. Why is voice revenue big? Is it pure voice or combined with other products?
Jeremiah De La Cruz: Sorry, the question was why is voice revenue big? And is it combined with - so let me refer to - I think the question is referring to legacy, right? So legacy revenue actually has a few things inside there. Voice is one of them, right? So an example of legacy revenue would be, say, for example, our copper, right, our telephony-only, some of the voice international calling that we may have. It also includes things like calling cards. I know it might sound a little bit silly. But actually, we have had long for some product set that have been out there for quite some time that some of our customers still avail of, right, so some of the calling cards that they may actually get, prepaid calling cards in some of the malls, et cetera. So our legacy revenue actually has a lot of these older things that we've accumulated over many, many, many years that may not be actively marketed today, however, we still do have customers that are purchasing them and continue to avail. Now as voice-over-IP, data and broadband, become more and more prevalent, you're seeing that decline come through, right? So it is declining. It's just that there are still some of those customers that do continue to use those services. And obviously, whilst especially since a lot of these are actually sunk costs from a network point of view, we extract the value as long as we possibly can. However, we have seen that decline, but we should see that decline actually start to dissipate, as it starts to become now the long tail.
Menardo Jimenez: Yes, absolutely. For the wireless, not only are we going to expand our 4G coverage as well as our 4G capacity, we have to move into the 5G space. So, we are entering to roll out aggressively on 5G as well. On wireline, we are also going to be rolling out as well. The market for wireline, especially as you bring down the price point, actually expands. And so, we have to keep on rolling out the ports to meet those demands.
Joseph Ian Gendrano: Yes, certainly, we are actually looking into digitalizing our retailers. We've invested in the infrastructure that will accommodate the same as we work with our fintech partners. Our expansion in the channels extends beyond the stores, not just the company-owned stores and our partners but also the online e-commerce and digital stores. Thank you.
Melissa Vergel De Dios: Do you have a follow-up question, Arthur?
Arthur Pineda: My side? Sorry, no question on my side.
Melissa Vergel De Dios: Maybe I'll just check with the people who are here. Any questions?
Jarred Go: Jarred from AB Capital. Just have a quick follow-up question on broadband as well. Two questions for me. The first, what percentage of net adds moving forward do you see from your cheaper 899 postpaid plan as well as your prepaid fiber plans? And the second question is, can you talk a bit about the decision to enter the prepaid market at a slightly higher price point than your competitors at ₱999 per month compared to the usual ₱700? Thank you.
Jeremiah De La Cruz: Okay, thanks. I'll start with your first question, I think, which was what percentage of our plans moving forward are going to be 899 versus prepaid. At this point in time, I can share with you what we're experiencing. We've actually launched both 899 as well as prepaid. And what we've seen is more of our customers are actually gravitating towards the 899 plan versus the prepaid at this point in time. We have seen 899 actually hit a high when it was first introduced of about 20% of our total new connect mix. But we've actually seen that number dissipate now, right? It's actually changed. And we're seeing actually more and more of our Unli-All plans being sold as customers look for the overall value within the household, right? So I think some of the communication that we've had and the information about Unli-All, I'm sure you're aware, it's an unlimited calling from your landline, unlimited broadband at higher speeds with signal as well as now mobile. The value actually included in those plans are really starting to cut through, and we're seeing customers avail of those plans and seeing it as a total household spend rather than just only on the, say. For example, on the broadband side of things. So we've seen it as high as 20%. That's actually come down now. And we're seeing that sort of hover between the 5% and 10%. Now in terms of prepaid, to be honest with you, we're still actually ramping up our installed capacity. As our Chairman actually mentioned, we have seen a huge increase in terms of demand over the June, July, August period. And so what we'll need to do is actually bring in additional installed capacity as well as additional sales capacity to be able to look at the prepaid side of things. Because I think the market demand that we're seeing right now, it's really not representative of what the market really wants. I think it's really coming down to leveraging, the existing channels that we do have. And where they're most comfortable in, and where they've been attacking has really been in the 899-and-up space. We think that there is still a bigger market opportunity there for the prepaid. And so, as we build our installation capacity to serve them, we'll also be building out specific sales channels to target the prepaid market.
Derrick Guarin: Derrick from CLSA. So several questions, first, on the data center side. On Sta. Rosa, I recall it, it was first introduced at 100 megawatts. Can you remind us what changed from 100 megawatts to 50 megawatts, and if you're able to share also the EBITDA margins for existing data centers, if that's okay?
Joseph Ian Gendrano: So we had originally planned Sta. Rosa, the facility can, by design, accommodate up to 100 megawatts of total. But based on prevailing, what we see as near-term demand plus a diversification on the locations that we'd like to build because we're not stopping with the 11 data centers. We found it prudent to stay at 50 megawatts total or translated to roughly 36 megawatts IT load. From an EBITDA perspective, our data center business is very healthy and very comparable to other large progressive DC players from an EBITDA perspective.
Derrick Guarin: Okay, understood. So on the margin side, would you say it's near to the consolidated margins of PLDT?
Joseph Ian Gendrano: Slightly less than the 52%, but there are certain deals that are above that. But as an average, it's slightly less than the telco EBITDA levels.
Derrick Guarin: Okay. Another question, on Maya, so life-to-date loans, are all those on-balance sheet loans? And would you able to remind us about the dynamic with Tala?
Manuel Pangilinan: Loans is about ₱7 billion, as per latest loan balance on books. The amount of loans disbursed, substantially renew existing loans are a factor about [15] times. So my understanding is that we charge an upfront fee, something on average of about 6%, take it up from the - an upfront payment. It is really very short-term. Look at the velocity disbursed but also the carry income. The amount of carry income is really substantial for the. But they have to put more loans. The velocity of loans disbursed to carry more loans. The [carry rate] is really what is it.
Derrick Guarin: Okay. Sorry, more on that point on the loan side, there are no BSP securities or government securities in this mix still there in the government securities there?
Manuel Pangilinan: They do. The level of deposits is about so I agree to it. The financial bank way below standard loan and the interest spread, the effective interest rate is probably in the 70s Big spread. It's a bit more volume. really push it to [willing] cover the losses of royalty.
Derrick Guarin: Okay. Thank you.
Melissa Vergel De Dios: There's a question from Albizia Capital from Phasin Ratanalert. On fiber broadband, can you please share the market share trend, compared to the previous quarter?
Jeremiah De La Cruz: Well, I'm just trying to think, from a revenue share point of view, I guess, it's very difficult to be able to share it for the first half, because we've only seen Globe results come out as of today, right? So I think Converge will be releasing theirs in - I think, it's tomorrow, actually. So I won't be able to comment on the latest figures. But I can say that when we looked at market shares on a three-way basis, right, so Globe and Converge side-by-side at the end of quarter one. We saw a slight increase in terms of revenue share for PLDT. And there was also a slight increase as well of subscriber share, right? So subscriber share was just small. But actually, the one that we measure and we monitor the most is going to be on the revenue share side of things. So, we saw a slight revenue share gain in the first quarter of 2024. Sorry, go ahead.
Menardo Jimenez: For 2025, I think we're still in the budget process. So the Home team is still kind of figure out exactly how many fiber ports we want to roll out for next year. But I would think, or I would mention that it would be more than what we did this year because of the accelerated demand that we saw due to the price reduction. Secondly, the concentration of the rollout for this year was in Greenfield areas. Now there is a combination of rolling out in both Greenfield and Brownfield areas simply because the market for 888 has just expanded in the Brownfield area. So, I would think they would dimension a much bigger rollout in 2025 than in 2024.
Melissa Vergel De Dios: There are no further questions. So I'll now turn the floor back to Mr. Pangilinan for his closing remarks.
Manuel Pangilinan: Thank you for your attendance today. We look forward to seeing you again, and we expect, November 12, is it, for third quarter results. Thank you.
Melissa Vergel De Dios: Thank you. Join us for some refreshments.